Carol Schumacher: Welcome. This is Carol Schumacher, Vice President of Global Investor Relations for Wal-Mart Stores, Inc. Thanks for joining us today to review the results for the second quarter of fiscal 2016. The date of this call is August 18, 2015. This call is the property of Wal-Mart Stores, Inc. and is intended for the use of Wal-Mart shareholders and the investment community. It should not be reproduced in any way. For those listening on the phone, you may navigate through the call as follows. Press 4 and the hash tag key to rewind playback 20 seconds. Press 5 and the hash tag key to pause and resume playback. Press 6 and the hash tag key to fast-forward playback 20 seconds. This call contains statements that Wal-Mart believes are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, as amended, and that are intended to enjoy the protection of the safe harbor for forward-looking statements provided by that Act. Please note that a cautionary statement regarding the forward-looking statements will be made following Charles Holley’s remarks later in this call. All materials related to today’s news are available on the investors’ portion of our corporate website stock.Wal-Mart.com. The terms used in today’s release including EPS, constant currency, gross profit, gross profit rate and gross merchandise value are defined there as well. We recommend that you review the earning’s press release in conjunction with the transcript of this call and the accompanying slide presentation. The slide presentation has a lot of the financial data that previously used to be included in the transcript. Global unit count data is also on our investor’s website. Now, when we refer to traditional Neighborhood Markets in Wal-Mart U.S., we are discussing those that average 42,000 square feet of retail space. The smaller Neighborhood Markets range in size from 12,000 to 16,000 square feet. As a reminder, for fiscal 2016, we utilize a 52-week comp reporting calendar. For this year, quarter-to-date and year-to-date comps will be based upon 13 and 52-week periods, respectively. Our Q2 reporting period ran from Saturday, May 2 through Friday, July 31, 2015. Now, let’s get on to today’s call. Doug McMillon, President and CEO of Wal-Mart Stores, Inc., will provide his thoughts about our results in context with our overall strategic investments. Neil Ashe, President and CEO of Global eCommerce will update you on the progress we’ve made in eCommerce around the world. We’ll begin with our operating segments with Greg Foran, President and CEO of Wal-Mart U.S. followed by Dave Cheesewright, President and CEO of Wal-Mart International, and then Rosalind Brewer, President and CEO of Sam’s Club. Last, Charles Holley, Wal-Mart’s CFO, will wrap up with some financial analysis and details on guidance for the third quarter and the full year. He will cover a few of the items that Claire Babineaux-Fontenot, EVP and Treasurer, typically shares. Travel commitments have precluded Claire from participating this quarter. As a reminder, our annual meeting for the investment community will be in New York City on Wednesday, October 14. It will be held at the New York Stock Exchange and we all look forward to seeing you there. Now, I’m pleased to introduce our CEO, Doug McMillon, to kick off the call. Doug?
Doug McMillon : Thanks, Carol, and good morning everyone. Thank you for joining us to hear more about our second quarter earnings and get an update on how things are progressing relative to our strategy. We just returned from our Wal-Mart U.S. holiday meeting in Denver. As you may know we gather all of our store managers and market managers to talk about the plan for the holiday season and take stock of where are as a business. I can tell you that the feeling in the room was as good as it’s been in years. Our stores in the US are getting better, our associates are happier and our managers are leading it. I talked with our managers about how our company has always changed to serve customers. And we are in another period of change right now. I shared an article from Fortune magazine that I keep in my office titled “Can Wal-Mart get back the magic.” It’s a pretty strong indictment of our future. And the fun fact is that, it was written in 1996. Just as it was in 1996, we will win the future of retail if we make the right choices as a business. We have a strong point of view on what that future will look like. Through technology, data and mobile we have incredible new ways to serve customers today and the opportunities are only growing. We believe the winners in retail will be those who can bring together the best of the offline world with the best of online to serve customer however they want to shop and we believe Wal-Mart has unique competitive advantages in this race. We’re moving forward on our enterprise strategy to position ourselves to win, playing offence, which is the only way to play in retail. This is true around the world, it is not just U.S. opportunity. The changes we need to make require investment and we’re pleased with the steps we’ve taken. We made continued progress towards our plan this quarter. Even if it’s not as fast as we would like, the fundamentals of serving our customers are consistently improving and it’s reflected in our comps and revenue growth. Our strategy starts with running great stores and clubs. In Denver, we talked about the choices we’re making as a business, as you know in the first quarter we initiated a comprehensive multiyear plan to increase starting wages and training for associates in our U.S. stores and clubs. During the second quarter, we implemented the next phase of changes to our Wal-Mart U.S. store structure including adding department managers. Our focus on running better stores that are clean and well stocked have friendly associates and an efficient checkout is resonating with customers. They have always counted on Wal-Mart to have great prices, now we are building their trust with better in stock and delivering an enjoyable shopping experience. As a result, Wal-Mart U.S. delivered its fourth consecutive quarter of positive comp sales as overall net sales grew nearly 5%. Customer traffic was strong again this quarter. Lower gas prices helped. I continue to be encouraged by the sales momentum that we are seeing especially in general merchandize and I’m confident that customers are benefiting from the investments we’re making in our stores and associates. Obviously, we would like to see it ramp higher and faster, we also recognize it won’t be a linear path up into the right but we like the trend line. Although we grew top line sales, we did fall short on managing the bottom line, during the quarter, operating expenses were higher than expected and our gross margin was lower than planned. We are not pleased or satisfied. For the back half of the year, we will manage these items closely with the continued commitment to efficiency, cutting cost where appropriate even in a period of investment. Similar to the first quarter, Wal-Mart International constant currency sales growth was solid this quarter with Mexico and Canada delivering strong comps. We are also excited about the opportunities we see in China despite slower economic growth and currency pressures. Our position is improving, we are gaining market share in the hypermarket category, Sam’s Club continues to perform well and we have great opportunities in eCommerce. Brazil and UK remain challenging markets but for different reasons. I’m pleased that our U.S. Sam’s Club comp sales improved this quarter and membership income was up close to 6%. Members are recognizing the enhanced value in our plus memberships, which drove continued growth this quarter both in club and online. Another piece of our plan to win is to build and run great eCommerce; we have made a lot of progress improving our mobile and eCommerce capabilities this year with several important milestones in the second quarter. You will hear more details from Neil shortly about the investments that we have made in Pangaea, our global technology platform and the progress on opening our four new fulfillment centers in the United States. These investments are designed to give customers the ability to find what they want more easily and get what they want faster while enabling us to fulfill orders in a more cost effective manner. Another important milestone in the quarter was our acquisition of the remaining stake of Yihaodian, our eCommerce business in China. We are extremely excited about the growth potential of Yihaodian and the opportunity it presents over time to deliver for customers in a seamless manner. In the second quarter, Wal-Mart’s worldwide eCommerce sales grew approximately 16% on a constant currency basis led by solid results in both of our U.S. businesses Wal-Mart and Sam’s Club. The third leg of our strategy is to innovate the future retail by bringing online and offline together. Here we can see the pieces starting to come together. In the U.S., the response to our grocery home shopping offering [has] [ph] been strong, I’m particularly pleased with the number of repeat customers we have and the strength of our average ticket. Anecdotally, I can share that customers have told us it’s changing their perception of the shopping experience at Wal-Mart. In stores, we have been aggressively pursuing store pickup options and pickup while on a very small base in Wal-Mart terms is growing very quickly. At samsclub.com, we are also seeing stronger sales as members appreciate the convenience of our club pickup. We are also focused on leveraging data to bring exciting member relevant merchandise to our clubs and online with an eye towards to growing our share members from the higher income household demographic. Internationally one of the encouraging signs we are seeing in Mexico and Canada is that customers are not only purchasing more in our stores, but also driving sales through eCommerce and mobile commerce. In China, we are expanding our Omni-channel offerings with the new test of in-store pickup of online orders in a number of Shenzhen stores. Chinese customers increasingly value the choice of both picking up their online orders in a local store and having it shipped to their homes. And we have started integrating our digital and physical offering for these customers. Winning in the future requires change. Change in this case requires investment and investment pressures short-term earnings. Our strategy is designed to create robust and sustainable growth that will deliver return to shareholders. We obviously want to do that in the short and long-term and it all starts by winning with customers. The good news is that our short-term investments helped a build a bridge to the mid and long-term. In the second quarter, Wal-Mart generated more than $120 billion in revenue and delivered earnings per share of $1.08. I am encouraged by the improvement in our constant currency sales and recognize that our bottom line results should have been better. We have margin pressure from pharmacy reimbursements and higher shrink than we expected during the quarter. These impacts coupled with higher wage investments impacted EPS. Wal-Mart U.S. is the driver of our bottom line results. With the headwinds I just mentioned continuing the rest of the year and the level of investments we have our operating income will continue to be pressured. We have a strong balance sheet, one that allow us to opportunity to invest significantly in our business and the acquisitions like Yihaodian. You will hear more on the impact of these investments from Charles when he updates EPS guidance. In the short-term, we expect Wal-Mart U.S. comps to accelerate as the service from our associates gains even more traction with our customer experience. When all of our eCommerce fulfillment investments comes online we expect them to lower our distribution cost in the mid term starting in the fourth quarter and having a larger positive impact next year. Over the longer term, we believe we will continue to grow in key markets around the world and further integrate our store and eCommerce offerings. We know that to deliver for our shareholder in a sustainable way we must first win with our customers and associates. So I am confident that these are the right decisions to position Wal-Mart for the future. Finally, I want to mention an important moment we will observe this week. Nearly 10 years ago our customers and associates on the Gulf Coast were impacted by Hurricane Katrina, throughout the devastation that the residents of this region faced Wal-Mart associates demonstrated extraordinary courage and passion for these communities. I often think how simple acts of kindness can have a dramatic impact. Our people really do make the difference at Wal-Mart, not only for our customers, but also for t he communities we serve. I will look forward to joining our associates and community leaders in New Orleans later this week to look back at this event and to discuss how to get better at disaster resiliency and response. Now I will turn it over to Neil.
Neil Ashe: Thanks Dough. We delivered a lot during the quarter, at Wal-Mart U.S., at Sam’s Club and in our key markets around the world. All possible because of the groundwork we laid over the last few years. As a quick recap, we have re-platformed both our technology and physical distribution network for eCommerce. The technology platform Pangaea is consistently improving the customer experience and conversion for Walmart.com, which has led to solid sales growth. We have created a U.S. grocery home shopping business that is getting great reviews from our customers. And we’ve developed eCommerce at Sam’s Club and in key markets around the world notably in Brazil and in China. All of this was made possible because we have a built talent dense Internet technology company inside of Walt-Mart. We are now able to create new experiences for customers across digital and physical. Overall Global eCommerce constant currency sales grew approximately 16%. GMV or gross merchandise value grew approximately 18% on a constant currency basis. The highlight was solid growth in the Walmart.com and samsclub.com U.S. businesses while international was soft due to economic challenges in several of our key markets. Because of the softness in international we are resetting our Global eCommerce sales growth forecast for this fiscal year from the mid 20s to a range in the mid to high teens. As I mentioned both businesses in the U.S. are going very well. A great example of how everything came to life with our Walmart.com Dare to Compare event that we kicked off in July. This event created a perfect opportunity to highlight that customers can trust us to offer them the assortment they want at low prices everyday, not just during a one day sale. We were able to use our technology platform and sophisticated pricing algorithms to help us track and deliver lower pricing than competitors. Given that we’ve tripled our assortment in the past three years, we had more items for customers to shop. Customers could then choose how to get their purchases in the most convenient way for them. We offered customers the option to get orders shipped to their door or to a store with same day pickup. In fact, it led to our biggest day of the year so far for same day pick up. The flexibility of our new platform allowed us to move very quickly and the new site delivered a better, faster shopping experience to customers. And those customers who are shopping on mobile devices had an improved experience, thanks to the responsive design we rolled out in the quarter. We are using eCommerce to bring both new customers to Wal-Mart, as well as to deepen our relationship with our existing customers. On the largest day of our Dare to Compare event, we saw more than double the number of new customers to Walmart.com than a typical day. During the second quarter, we had a number of milestones for Wal-Mart U.S. We migrated a 100% of customers to the new kart and check out, based on our new technology platform; we delivered responsive design to dynamically adjust the site to whatever device was being used. We started rolling out a significantly enhanced store search capability on mobile. We opened two new automated online fulfillment centers, each bigger than 20 football fields. And we have two more coming this quarter. These fulfillment centers are strategically located across geographies and will begin to serve our customers this holiday. They will be cornerstones of our fulfillment network going forward. We also started a targeted test of an unlimited free shipping program priced at $50 for one year. I’m also pleased with the expansion and progress on grocery home shopping in the U.S. We are in five markets and sales continue to grow because customers especially moms with children love the convenience of ordering online and having their car loaded at a pickup location. In addition to expanding pickup and stores, we are offering customers remote pickup points that are convenient to them including their corporate campuses. In fact we launched one here at our campus in San Bruno. We have also made great progress at Sam’s Club where we have been tightly aligned with clubs to deliver a better member experience which has helped deliver high growth on samsclub.com. Sam’s delivered new club pick up options to make it easier and more convenient for members to shop online and pickup at the club. Pre-paid club pick up rolled out across the country and we started testing mobile check in and drive through in several clubs. We have also improved the assortment and pricing online. Knowing that members love the treasure hunt, we launched shocking values on samsclub.com that gives members access to special items at outstanding prices for a very limited time. Our enhancements to mobile have also built on our member experience and we’ve seen double-digit growth in mobile. As I mentioned earlier, sales in our international markets were softer during the second quarter than we’ve seen previously. While still growing, grocery home shopping in the UK has slowed down, commensurate with the market. [As to] [ph] open 14 petrol stations during the second quarter and these were enabled with click and collect lockers for both grocery and general merchandize items. In Brazil, the overall economic environment is very challenging but we have continued to take share in this down market. We are growing sales faster than the market and we are continuing to see growth in GMV. Our team has used this opportunity to build a lean and nimble operating model that can succeed in any market condition. As Doug mentioned, we acquired the remaining shares of Yihaodian in China. In 2012, we became 51% owners and we have seen strong growth since that time. Yihaodian now has about a 100 million registered customers, more than twice as many as when we first invested. Our primary goal is to continue to accelerate Yihaodian’s core eCommerce business and maintain strong local Chinese expertise. Now that we are the sole owners, we will be expanding our leadership team from within the Yihaodian business from within Wal-Mart and from the eCommerce industry in China. We will also leverage Wal-Mart’s global reach and scale to better benefit Yihaodian, including global sourcing. Wong Lu who joined us earlier this year to lead global eCommerce in Asia is overseeing Yihaodian. He brings a strong background in developing digital businesses in China. China is an exciting, dynamic, large and competitive market. We are excited about our long-term opportunity in China. We are delivering important eCommerce capabilities around the world. And ultimately these capabilities are enabling experiences that impact the stores and clubs as well as eCommerce. Customers see us as Wal-Mart and Sam’s Club not a collection of shopping channels. We are delivering experiences on [apps] [ph] and sites and in stores and clubs that come together to differentiate us in the eyes of our customers and members. To remain in leadership position we must continue to invest in technology and people to deliver the customer and member experiences. Now I will turn it over to Greg. Greg?
Greg Foran: Thank you, Neil. As Doug mentioned, we are encouraged by our top line growth particularly traffic. Our bottom line came in substantially below what was planned, three major factors contributed to our underperformance, a decline in gross margin primarily related to lower than expected pharmacy reimbursements and accelerating pressures as well as higher than planned investment in store house, which was essential to improving the customer experience. I want to be straight forward; these issues will present continuing profit challenges for the remainder of the year. We are certainly disappointed but we are not standing still. We know we can do better and we will. For the Wal-Mart U.S. business doing better means staying focused on an aggressive strategic plan to improve the customer experience in our stores and deliver sustainable top and bottom line growth for the long-term. The strategic plan includes a number of large specific projects that fit within our broader focus on assortment, price, excise and customer experience. This plan requires significant investments and we are confident we are making the right decision for our customers and our business. Amid the investment we are focused on growing sales and controlling cost as you would expect from Wal-Mart, we are staying true to our roots, however we are committed to improving the customer experience and we will protect the investments necessary to achieve this goal. Let me dig in a bit on details, I’m pleased to report that we have seen progress on our top line as net sales for the second quarter were up 4.8% and comp sales increased 1.5%. We also improved inventory making our goal to grow inventory less than sales growth. Additionally, we have seen improvements in traffic and customer experience from these actions. Each decision was in line with the strategy we laid out and progress has been steady and consistent. Let me share with you some of our accomplishments in the first half of this fiscal year, many of which occurred during the second quarter. First across all formats we are focused on improving the shopping experience for our customers with continued our checkout promise initiatives ensuring more registers – during paid shopping hours, we have invested in providing customers with a cleaner, better maintained shopping environment and we’ve added approximately 1,700 items primarily in grocery to warehouse stocks driving faster replenishment times to the stores and ensuring the product is available for our customers. Second, we are investing in our associates, this April we raised the minimum starting wage in our stores to $9 per hour resulting in over 500,000 associates receiving a raise, this new wage structure is expanding our applicant pool, we are also introducing 8000 new department manager positions, a more focus role that allows the associate to be trained and become more knowledgeable with areas they support providing our customers with a better experience in the store. Additionally, we are continuing to focus on career development role of our associates. Finally we have increased the amount in associate will receive upon being promoted into higher levels of responsibility. These changes gauge pay raises to an additional 150,000 associates who are critical to improving the in store experience. Alongside wage improvement and to support career development we are rolling out new training programs designed to help associates grow their careers at Wal-Mart and provide a better experience for our customers. These programs, which will be, rolled out this fall hands on structured and tailored specifically to a position ensuring that training is relevant to an associate’s current role or to a future role they inspire to achieve. And we piloting new schedule tools that allow associates to select shifts that work best for them, while ensuring the store start appropriately for customer demand. This program is reducing associate absences antennae but in the pilot stools and providing managers with bit of visibility to coverage debts. Lastly were investing in operational improvements in the second quarter we began an over hole about inventory management systems routines and schedules. The customer availability program or CAP will supply decade processes with modern technology and new retains routines that keep associates on the sales floor rather than in the stock room. Processes for truck deliveries at pick times and stocking shows have been significantly simplified bring more associates to be on the floor during peak customer traffic. We’ve also begun rolling out MC40 technology tool department managers. The smaller more and initiative hand Hill tool allows us to replace the current devices with one that can provide enhanced technology. This will simplify how our associates work in a way that was not possible before. Additionally this month store managers are receiving mobile tablets that will help them stay connected to the business, while keeping them on the sales floor to help our customers and associates. As part of their focus on EDLC we have reduce supply marketing funds that have traditionally offset a portion of our advertising expenses as we work towards better product costs. This will translate into lower prices for our customers. As a result of this reduction we have lowered our second quarter print advertising count from 20 pieces last year to just four pieces this year. Moreover since June, we’ve been working on amending terms and allowance agreements with our suppliers driving consistency and simplification across the business. We’ve also reinstated our shrink training program for our asset protection and store management teams as part of our efforts to improve in this area. And finally, we have reduced feature and modular changes across the store ensuring there is space for each feature and associate how to make these changes. Along with this reduction with most and featuring [indiscernible] decisions back to the stores allowing them to sit features that best inline to the local customer needs and preferences. Also are numerous initiatives being landed across our business, these are being executed in a coordinated and systematic fashion to allow us to achieve our full potential. We are pleased with our progress in the first half of the year, but we recognize that we still have a lot to do to meet your long-term goals and that it will take time to get where we want to be. I recognize each section has and we’ll continue to pressure our bottom line, but they are already driving meaningful improvements. Over the past year we’ve seen growth and store traffic and Comp sales. Additionally, our customer satisfaction schools continue to improve. Every day a sample of customers in every store right us across a number of matrix including providing a faster checkout, friendly service and clean store environment based on the writings from the surveys we can see that our stores are making significant improvement from the baseline and we expect that trend to continue. Improving the customer experience is fundamental to our success. Finally, we are proud of the impact these decisions have had on our associates. Nearly 80% of about 1.2 million US store associates participated in our annual associate’s survey administered during this quarter. Our associate’s engagement has increased approximately 100 basis points this year after remaining static for the prior two years. We have remain committed to the strategy we laid out for you earlier this year ensuring we making the right decisions to benefit both our customers and our associates and to drive long-term sustainable growth. We know we will continue to face considerable challenges, but our goal for the back half of this year is to build on the improvements in top line and customer experience and a list of things to accomplish is even longer. Now let’s cover the details on our financial performance for the second quarter. Net sales increased $3.4 billion or 4.8% versus last year. Comparable store sales were up 1.5% and driven by strength in traffic, which increased 1.3%, traffic was particularly strong on the general merchandise and soft line side of the box. Seasonal categories resonated well with customers and changes and replenishment strategies ensured product was on the shows when and where customers needed. Finally eCommerce sales contributed approximately 20 basis points to our overall comp. Neil shared the details on our progress on technology, infrastructure and fulfillment for Wal-Mart.com orders. We are pleased that these efforts will position us even more competitively for the back half of the year. Our grocery home shopping pilots remain underway in five key markets. And we are happy with increased customer accounts in these areas. All formats delivered positive comp sales growth this quarter in particular comps in neighborhood markets were up approximately 7.3%. We remain encouraged by the performance of this format. As mentioned the general merchandize since top line side of the super center performed well this quarter driving strong traffic in sales growth through relevant offerings and better in stock positions. While warm weather particularly in July helped propel sales in seasonal categories, our ongoing focus on the basics across apparel, indoor home and hard lines drove momentum throughout the quarter. Additionally while we show shift back-to-school sales into August as several states adjusted the timing of the tax free weekends early indications are positive. Health and wellness benefited from continued growth and pharmacy scripts along with new brands in optical and our focus on better in stock positions in OTC. And while we saw improved trends in our entertainment business from in stocks and stronger online sales comps continue to run negative pressured by ongoing industry declines in the shift from post-paid to installment wireless plans. On the grocery side of the box, consumables had positive comps, driven by a strong base business. New products particularly in chemicals drove additional momentum; more noticeably continued pressure in food from declining inflation negatively impacted our total box comp by approximately 60 basis points. Moving to the reminder of our financials, gross profit rate declined 41 basis points this quarter. As I said before, this was driven by a handful of key issues. Let’s talk about pharmacy. Reflecting industry wide trends, we are seeing reduced reimbursement rates from pharmacy benefit managers, which is negatively impacting gross margin. We are also seeing a lower mix of higher margin cash transactions reflecting a marketplace shift in which more customers are now benefiting from greater drug insurance coverage. While we are taking a number of actions to listen the impact we expect to have pressure on pharmacy for the rest of the fiscal year. Additionally, inventory shrinkage was meaningfully higher than planned for the quarter. We are reviewing the end-to-end inventory management process with a special focus on shrinkage and working to close gaps. Investments are being made in training programs store and asset protection associates as well investments in staffing and high shrink areas of the store. But it will take time to see results, so this will impact us versus planned for the rest of the year. Operating expenses deleveraged 50 basis points to last year primarily due to our higher than planned investments in customer experience. These investments included the planned wage rate increases and structural changes I mentioned earlier as well as additional associate hours needed to improve customer service. This quarter, we thoughtfully added back half to specific areas of the store such as front end and stocking positions. This was a strategic decision to invest where we can drive the most benefit for our customers. These adds were significant and more than we had planned but we felt it was a right decision to meet the goals we have set. And we’ve started to see the investment translate into better top line performance. The focus on customer experience along with ongoing investments in eCommerce and the reduction in gross profit rate led to an operating income decline of approximately 8.2% versus last year. Moving on in the second quarter, total inventory grew slower in the rate of sales at 2.2%. Comp store inventory declined by 2.4% versus last year. The majority of this improvement came from decisions we’ve made regarding replenishment strategies whereby we strategically moved inventory for certain items upstream from our store backrooms to our distribution centers. Additionally, we continued our focus on clearing our backroom of inventory improving operational efficiency in the stores. These actions along with better management of seasonal inventory and reducing modular changes and future shipments to the stores allowed us to reduce comp store inventory while improving both in stock levels and sales. Inventory management will continue to be an ongoing focus for us. This quarter we opened 16 supercenters including relocations and expansions. Additionally, we opened 22 traditional format neighborhood markets and the final six of our smaller format neighborhood market test locations. As we think about future store openings, we will continue to focus on quality versus quantity. Having opened more than 350 neighborhood markets in the past two years, we have a better understanding of what customers value most from the choice of location to the size of the box to the product offerings. Based on these learnings, we have decided not to pursue a number of potential locations as they would not provide the type of quality experience customers expect from a neighborhood market. We now expect to open a total of 160 to 170 neighborhood markets in fiscal 2016 including the 51 locations already opened. Our previous forecast was to open between 180 and 200 neighborhood markets; we are still on track to do approximately 60 to 70 supercenters this year, which was our original forecast. We know that we still have a lot of work to do to achieve the long-term goals we have set in business, the investments we’re making along with the headwinds we’ve mentioned will weigh more heavily on operating income than initially forecasted. Amidst the pressures we are thoughtfully evaluating every decision and use of company resources as we go through the back half of the year. But we are confident in the direction we are headed. We are seeing improvements everyday from sales and traffic growth to increased customer satisfaction to more engaged associates. For the third quarter, we expect our ongoing investments in stores and customer experience to drive further sales momentum offset partially by continued deflationary pressures in food especially in meat and dairy. For the 13 week period ending October 30, we anticipate a comp sales increase of approximately 1% to 2%. Last year, our comp sales for the period were up 0.5%. Now I will turn it over to Dave for an update on Wal-Mart’s International. Dave?
Dave Cheesewright: Thanks Greg. The international business had a fairly solid quarter given tough economic environments in certain markets and ongoing currency impacts. In Q2, we saw accelerating sales growth in Mexico and Canada offsetting ongoing challenges in the UK, Brazil and China. Overall I continue to be enthusiastic about our long-term prospects to profitably grow our international business in a controlled and disciplined manner. Similar to last quarter, the performance in Mexico and Canada continue to be solid. Our Mexico team has done an excellent job reenergizing that business driving strong performance across all formats. We continue to see significant growth opportunities in Mexico along with the improving core business. In Canada, we continue to gain market share driven by our fifth consecutive quarter of positive comps. These two markets will continue to play a key role in our back half performance. I’ll provide more details on key market performance in a few minutes. Now let’s jump to overall results. In the second quarter net sales grew 2.8% on a constant currency basis despite headwinds in Latin America from lapping last year’s World Cup and the timing shifted Easter. The U.S. dollar remains strong, which led to a currency impact of $4.2 billion resulting in a 9.6% sales decline on a reported basis. Comp sales were positive in Mexico and Canada while the UK, Brazil and China posted negative comps. All other markets had positive comp sales. Operating income declined 1.5% on a constant currency basis. Negatively impacted by increased employment claim contingences and higher than expected utility rates in Brazil as well as continued investments in global ecommerce. This was partially offset by gains from the sale of the bank operations in Mexico and certain properties in Canada. Excluding the impact of these items operating income would have grown faster than sales. With the currency exchange impact operating income decreased 14.2%. On a constant currency basis inventory grew faster than sales of 4.2% driven primarily by slower sales in U.K. On a reported basis inventory declined 10.5%. Now let’s discuss market results presented on a constant currency basis for largest markets. In all countries except Brazil and China financial results are inclusive of ecommerce. Let’s start with the UK the market remained highly competitive during the second quarter with significant ongoing volunteering for most of this competitors. Gross deflation remained at near record levels as prices decreased 1.7% versus last year for the 12 weeks ended June 21 according to Kenta. The total market declined 9.1% a reversal from a slight growth in Q1 in part due to the timing of Eastern. UK sales declined 4.1% and comp sales excluding fuel were down 5.2% driven by declining traffic especially in fresh fruit categories. Grocery and shopping sales continue to grow and we remain focused on driving improvements to our customer metrics. Operating income increased year-over-year mostly driven by the timing of Easter and margin improvement in non-food categories from a favorable mix shift For the rest of the year we focused on strengthening these assortments in private label and improving pricing on national brands. We will continue to drive aggressive cost reduction initiatives supporting our $1 billion pound, five year price investment strategy. We’re investing to improve store standards and on shelf availability and to maintain recent improvements in grocery and shopping service metrics. In addition, we launched our new branding and marketing campaign based around adoption of the Wal-Mart save money live better mission to help build brand and quality perception. Collectively these actions are designed to address some of the challenges we face in store traffic and fresh food. Let’s now discuss Mexico, which released the earnings on July 21. Please note that Wal-Mart release is under IFRS and the results here are under U.S GAAP therefore some number may differ. Consolidated Wal-Mart’s net sales increased 7.2% with solid comp sales in both Mexico and Central America. Mexico sales grew 7.4% and comp sales increased 5.4%. We continue to seek strong comps across all formats including Sam’s Club, which delivered 4.6% comp growth. Self service continues to gain share and delivered the 190 basis point improvement in market share according to [indiscernible]. General merchandise performed very well at 4.9% comp growth despite a top year-over-year comparison from last year World Cup. Operating income grew faster than sales. The sale of that banking unit in the second quarter along with the Whips restaurant divesture last fiscal year helps us focused on our core business, which is our strength. We are intense on being the most relevant retailer for customers through excellent prices, great assortments and consistent execution. We remain confident that the steps we have in place to improve Walmax are working and will serve as a catalyst raw business over the long-term. In Canada, sales grew 5.4% and comps grew 3.9% in a low growth economic environment driven by strong performance in food, health and wellness, home and toys. We are investing in price and value as we look for opportunities to lower costs in our business. We continue to gain share in our core categories of food, health and wellness, and infant categories as per Neilson data for the 12 weeks ended July 18. Additionally our Canadian eCommerce business grew sales at more than 40% will be on a small base, in July we successfully launched our online grocery business, starting with 11 store pickup locations in the Ottawa area. In addition to top line performance, we remain focused on our low cost operating model. Operating income grew significantly faster than sales. In the quarter, we finalized the acquisition of 13 stores and one distribution center from a former competitor, seven of the stores are planned to open by end of this fiscal year and the remainder will open next year. In May, we also closed the sale of portfolio properties under development with our shopping center joint venture partner, which generated the previously mentioned gain. Overall, I’m pleased with our results in Canada and expect consistent profitable growth to continue. In Brazil, the country is facing a prolonged recession and a highest inflation rate in 12 years, driven in part by electricity rate increase is a more than 50% versus last year, which is driving a cautious approach to consumption. For Wal-Mart Brazil, net sales declined 9% and comp sales were down 1%, largely impacted by the World Cup event held during the same period last year and the timing of the yester holiday. We experienced a decline in the hyper market format driven by electronics but are pleased with the double digit comp sales increases in the wholesale business. Brazil operating income declined for the quarter, driven by the previously mentioned employment claims and rapidly raising utility rates compared to last year. The management team is making progress on the operational, people and legal fronts to address ongoing employment claims as they work through a challenging business environment. In addition, they are focused on key leverage initiatives to increase store productivity and help offset inflationary pressure. We continue to make progress on converting stores and distribution centers to standardize systems, which provides better visibility to business results leverages costs and reduces compliance risk. Last year, we integrated all of our stores in the South region, this year; we are focused on converting the south IDC network as well as approximately 100 stores in the north east. Next year, we plan to convert the remaining north east stores and dry DCs to this unified platform. Despite challenging market conditions, the eCommerce business in Brazil continues to perform well. Sales grew double-digits and outpaced the Brazilian eCommerce market. Market share rose from 8% to 8.5% in Q2 according to EBIT and eCommerce research firm with share gains in several categories including babies, toys, and games, and auto parts. Market place sales growth was also strong. Last, let’s discuss China. Wal-Mart China sales grew 1.2% while comp sales declined 1.4%, Wal-Mart increased market share and fast moving consumer goods in the hyper market channel and maintained share in the modern trade channel which includes smaller format stores for the 12 weeks ended June 28 according to Neilson. While there are ongoing market headwinds from slow economic growth, we’re are confident we’ll continue to delivery sustainable growth in China. Wal-Mart continues to outperform the market and gain market share in hypermarkets for the tenth quarter in a row. We are focused on driving efficiency, reducing expenses and strengthening our portfolio through we operate for less and we buy for less initiatives. These actions contributed operating income growing significantly faster than sales. The team continues to set the foundation for our business positioning for increased growth and profitability in the future. Throughout the quarter, we made significant progress in our omni-channel efforts. Wal-Mart China launched Wal-Mart To Go in 23 stores in Shenzhen bringing customers the convenience of ordering through the Wal-Mart app and the choice of pick up in store delivery to their home. We’re also testing ways to bring added payment choices and the convenience of mobile payment to our customers in our stores. In addition as Doug and Neil mentioned we increase our ownership of Yihaodian, China eCommerce platform to 100%. We’re excited about the opportunity to deliver new experiences to customers in China and further leverage Yihaodian and Wal-Mart’s global and local assets. In the second quarter, Yihaodian grew sales double-digits driven by strong growth in orders and continued improvement in conversion rates. Mobile contributed more than 55% of orders. As I wrap up the international portion of today’s call, I would like to express how pleased I am with our associates around the globe and their efforts in driving consistent and solid performance in the first half. With growing comp sales across the majority of our portfolio and stepping up investments in eCommerce, well setting our business up for long-term success. We expect continued economic challenges in the UK and Brazil but also expect continued strong performance in Mexico and Canada. We are optimistic about our growth prospects in China despite the softening economy and we will continue to invest in that market. Now I will turn over to Rose for an update on Sam’s. Rose?
Rosalind Brewer: Thanks Dave. We were pleased that our investments are contributing to improvement in Sam’s Club. In the second quarter, we grew comp sales without – 1.3% and net sales 2.8%. Our square footage also grew due to three new clubs opening during the quarter. We are accelerating our efforts to strengthen the Sam’s Club member value proposition. Since last year, our investments have been targeted to better merchandize assortment, membership acquisition, engagement and retention, new programs to enhance member value and our investment in eCommerce. By staying on a consistent path and driving these priorities we continue to simplify our business. We saw the benefits in improved membership trends in higher traffic during the second quarter what is most important is the overwhelmingly positive feedback we are hearing from our members not just about our clubs but also about improvement in the eCommerce experience. I will provide some examples shortly. Now on to the numbers, with fuel operating income declined by 13.4% to $428 million, fuel profitability improved from Q1 but it is still below planned levels and below last year’s dollars. For additional results with fuel please reference the accompanying presentation. Net sales without fuel grew 2.8%, comp sales without fuel were up 1.3% with ticket contributing 80 basis points and traffic 50 basis points. Savings member traffic was positive partially offset by a decline in business member traffic. Our gross profit rate declined 38 basis points versus last year driven in part by our ongoing cash rewards investment, increased seasonal markdowns and industry headwinds in pharmacy prescriptions similar to those referenced in the Wal-Mart U.S. business. Operating expenses as a percentage of net sales increased by 13 basis points due to continued investments in new clubs, technology and eCommerce. Membership and other income grew 6.1% with membership income up 5.8% driven in large part by plus upgrades. As a result of both of these factors, operating income declined 9.7% versus last year. We continue to manage our inventory appropriately, inventory without fuel grew by 3.4% driven in part by new clubs. In our merchandizing areas, let me start by highlighting two of our stronger categories home and apparel and health and wellness. Home and apparel delivered low single-digit comp sales with strength and apparel offset by softness in kitchen electrics, domestics, and furniture. Health and wellness posted mid-single digit comps driven by generics and by increase member adoption of our Free/4/10 prescription program. Since the launch of this program last quarter for plus members we see that those who utilize the program transfer on average two thirds of their scripts to Sam’s Club. We are optimistic that these trends will continue to drive traffic. Our fresh freezer cooler business was softer than expected due to deflation and key dairy commodities such as milk and cheese along with higher costs in areas such as meat. Grocery and beverages delivered low single-digit comps with dry grocery delivering solid comp sales. The consumables business also delivered low single-digit comps driven by laundry and tabletop categories. Our technology, entertainment, and office businesses I’ll be at posting negative comments saw improvement from Q1 levels. We thought acceleration in certain key categories such as tablets that was offset in part by a wireless business which is been negatively impacted by the industry shift to installment plans. We continue to make progress in eCommerce to build the most convenient club in the industry. We are pleased with her ongoing integration of digital and physical. ECommerce contributed approximately 60 basis points to our club comp performance during the period and traffic to our site was up just over 20%. We delivered the new club pickup options that make it easier and more convenient for members to shop online and pick up at the club. Prepay club pickup rolled out across the country and we started testing mobile check-in and drive through in several clubs. The number of members trying it for the first time during the quarter exceeded our expectations and we expect ongoing acceptance of the service. We have also improved the assortment and pricing online knowing that members love the treasure hunt we launched shocking values they give members access to special items at outstanding prices for very limited time. Shocking values products are carefully chosen based on member’s interest top trends and items from the company’s most popular shopping categories. In addition, our enhancements to mobile have also built on our member experience and drove double-digit growth in traffic. Membership income was up versus last year with growth driven by social media campaigns as well as strong plus renewals and upgrades due to the benefits of cash rewards. We also continue to emphasize our award-winning Sam’s Club 531 MasterCard which allows members to save inside and outside the club. We have received very positive feedback from our members on this program. We recently hosted our annual supplier Summit here in Bentonville and we were pleased with the excellent attendance and engagement our suppliers are very interested in the work we’ve done to ensure their grade items are getting in front of our member base. They are supportive of the innovation and merchandising transformation we have in place. We have great items coming for the holidays. We are focused on further progress in the Sam’s Club business for the back half of the year. For the 13-week period ending October 30, 2015 we expect comp sales without feel to be between flat and up 2%. Now I will turn things over to Charles. Charles.
Charles Holley: Thanks Ros. I will start with the top line. We are pleased with the sales increase as we saw in the U.S. as well is in our international businesses when considering cost of currency. We believe traffic and comp sales increases for Wal-Mart U.S. show we are on the right track with their investments. Wal-Mart U.S. now has had positive comps for four straight quarters. As expected these investments impacted both operating expenses and profits. In addition, Wal-Mart U.S. experienced gross margin pressure from pharmacy and shrink that we had not expected. Looking forward at the rest of the year operating profit will be pressured more than we originally planned this is primarily driven by the headwinds to Wal-Mart U.S. gross margins that I just mentioned. We will continue to scrutinize and evaluate how we manage our capital in order to optimize both the customer experience and returns. Before I turn to guidance, let me cover some other items. You may have read in our earnings release, that we are reviewing leases across all of our segments. This is part of a comprehensive ongoing lease review. One item that we are focusing on and may need to be corrected relates to leases where our payment of certain structural component costs during a lesser construction of the leased store causes us to be deemed the owner of the property for accounting purposes. This results in capitalizing these leased assets on our balance sheet. We don’t know the impact of our financial statements but believe it mostly to be a balance sheet issue at this time. We will provide more information once the review is complete. Turing to cash, during the quarter we spent approximately $760 million to acquire the remaining shares of Yihaodian. A strategic acquisitions for eCommerce growth in China. In addition, we continued to provide shareholder returns in the form of dividends and share repurchases and then a second quarter we paid approximately $1.6 billion in dividends and repurchased approximately $1 billion of shares. This represents our larger share purchase activity in the last four quarters. As always, we will remain opportunistic with repurchase throughout the year, as of the end of the second quarter we had approximately $9 billion remaining under our current $15 billion authorization. Membership and other income increased 13.9% to $899 million. Other income primarily benefited from the gain on the sale of the bank operations in Mexico. FCPA and compliance related costs were approximately $30 million comprised of approximately $23 million for the ongoing enquires in investigations and approximately $7 million for our global compliance program and organizational enhancements. Last year, FCPA and compliance related costs were $43 million in the second quarter. We expect FCPA related expenses to continue to turn down so we now expect our full year FCPA related expenses to range between $130 million and $150 million. This compares to our guidance in February of $160 million to $180 million. Return on investment for the trailing 12 months ended July 31, 2015 with 16.2% which compares to 16.7% last year. The decline in our ROI has primarily been due to continued capital investments as well as our decrease in operating income. Earlier, Greg mentioned that as part of our commitment to EDLC, we are working on amending terms and allowance agreements with our Wal-Mart US suppliers. To drive simplicity and consistence across our business. We began this effort in June and discussions will continue over the coming months. On a constant currency basis, inventory grew slower than sales. While we are pleased with the progress in managing our inventories, working capital is still an opportunity for us to generate stronger free cash flow. Now let’s turn our attention to guidance. In February, we indicated that we expected our full year fiscal 2016 earnings per share to range between $4.70 and $5.05. Today, we expect our fiscal 2016 earnings per share to range between $4.40 and $4.70 including a range of $0.93 and a $1.05 for the third quarter. This new range includes the following updated assumptions. First, the impact from our investments and wages, training, and additional hours in our stores will be approximately $0.24 including approximately $0.80 in the third quarter. Through the first half of this year, we have incurred approximately $0.10 of the expected full year impact, this compares to our original guidance in February of approximately $0.20. As you heard from Greg earlier, our decision to increase associate hours beyond our February plan to areas of the store such as front end and stocking positions are intended to drive the most benefit for our customers. Next the incremental investment in global eCommerce will range between $0.06 and $0.09, this is unchanged from our guidance in February. In the third quarter, we expect the impact to be approximately $0.02. Through the first half of this year, we have incurred approximately $0.04 of the expected full-year impact. Third, we expect the full-year impact of approximately $0.11 including approximately $0.03 in the third quarter for unplanned headwinds that I discussed earlier. The headwinds are primarily in Wal-Mart U.S. pharmacy margins as well as higher than expected stream continuing through this fiscal year. Assuming currency exchanges remain at current levels for the remainder of the year, we now expect the full-year impact to be approximately $0.15 up $0.02 from last quarter’s revised guidance of $0.13. Our effective tax rate is expected to range between 32% and 34% unchanged from our guidance in February. Now as a remainder our tax rate will fluctuate from quarter-to-quarter and maybe impacted by number of factors including changes in our assessment of certain tax contingencies, valuation allowances. Changes in law, outcomes, the administrative audits, the impacts of discrete items and the mix of earnings among our U.S. and international operations and in any given quarter, our effective tax rate could be higher or lower than the full year. We will host our annual investment meeting in New York on October 14. As we have in previous annual investment community meetings, we will provide an update on our capital plans at that time. We look forward to seeing you there. Thank you for your interest in Wal-Mart and have a great day.
Carol Schumacher : This call included certain forward-looking statements intended to enjoy the safe harbor protections of the Private Securities Litigation Reform Act of 1995, as amended. Such forward-looking statements relate to management’s guidance as to and forecast and expectations for. With respect to Wal-Mart as a whole, Wal-Mart’s earnings per share for all fiscal 2015 and 2016’s third quarter assumptions regarding the impact on Wal-Mart’s earnings per share for all of fiscal 2016 and fiscal 2016’s third quarter with respect to investment and wages, training an additional hours in Wal-Mart U.S. Incremental investment in global eCommerce and unplanned expense headwinds primarily Wal-Mart U.S. pharmacy margins and higher than expected – continuing through fiscal 2016 and the impact of currency exchange rate fluctuations on Wal-Mart’s earnings per share for all of fiscal 2016. Wal-Mart’s effective tax rate for all of fiscal 2016 and the fluctuation of Wal-Mart’s effective tax rate from quarter-to-quarter. Comparable store sales of the Wal-Mart U.S. and comparable club sales without fuel of Sam’s Club for the 13 week period ending October 30, 2015, the revised range of the overall percentage growth of global eCommerce sales in fiscal 2016, Wal-Mart continuing to grow over the longer term in key markets and further integrating its stores in the eCommerce offerings. Wal-Mart’s consolidated operating income for fiscal 2016 last half being pressured more than originally planned primarily by Wal-Mart U.S. expense headwinds, investments and its operations and strength. The effects of investments in Wal-Mart U.S. and Wal-Mart’s results the expenses to be incurred for SCPI related matters during all of fiscal 2016 and expenses incurred for such matters continuing to trend down, Wal-Mart remaining opportunistic with share repurchases throughout fiscal 2016. Wal-Mart’s sales trends not being linear up into the right, Wal-Mart managing operating expenses in gross margin and cutting cost were appropriate in fiscal 2016’s last half. Wal-Mart making the difficult decisions to close stores in the future, pieces of Wal-Mart strategic plan being to build and run eCommerce, operations and integrating its online and offline retail operations. Wal-Mart strategic plan being designed to produce robust sustainable growth that will deliver returns to Wal-Mart’s shareholders. With respect to Wal-Mart’s global eCommerce operations, two new fulfillment centers being opened in fiscal 2016’s last half. The new eCommerce fulfillment centers being cornerstone to the global eCommerce operations fulfillment network and starting its customers in the fiscal 2016 holiday season. All fulfillment centers being online lowering distribution costs in the mid-term starting in fiscal 2016’s fourth quarter with large positive impact in fiscal 2017. The goal of continuing to accelerate Yihaodian’s core eCommerce business and maintaining strong local Chinese expertise, leveraging Wal-Mart’s global reach and scale including global sourcing to benefit Yihaodian. With respect to the Wal-Mart U.S. segment lower gross margin from lower than expected pharmacy reimbursement accelerating pressures functioning and higher expenses for investment in store hours presenting continuing profit challenges for Wal-Mart U.S. for the remainder of fiscal 2016. Wal-Mart U.S. protecting its investments necessary to improve its customer experience. Wal-Mart U.S. is comparable stores sales accelerating a service from its associates gets more attraction with its customer experience. Wal-Mart U.S. a strategic plan to improve customer experience and deliver long-term growth including projects focusing on assortment price, access, and customer experience which plan requires significant investments. Wal-Mart continuing to face considerable challenges and goals for fiscal 2016’s last half of building on improvements in top line growth and customer experience investments by Wal-Mart U.S. and expense headwinds wing more heavily on Wal-Mart U.S. is operating income than originally expected, continuing pressure on pharmacy during fiscal 2016 second half including reimbursement rates and a shift from cash transactions to drug insurance coverage shrink having an impact in fiscal 2016’s last half greater than original plan. Supplier marketing funds reductions translating lower customer prices. Wal-Mart U.S. is investments in stores and associates and other actions continuing the pressure Wal-Mart U.S. is operating income. Wal-Mart U.S. having inventory management as a continuing focus. The effects of Wal-Mart U.S. is investments in stores and customer experience in the deflationary pressure and food on sales momentum the number of neighborhood markets and super centers to be open fiscal 2016. With respect to the Wal-Mart international segment Canadian and Mexican operations playing a key role in Wal-Mart international’s performance for fiscal 2016s last half. The focus in the UK operations to be on strengthening the assortment in private label and improving pricing in national brands continuing to drive aggressive cost reduction initiatives and UK operations. New store openings in Canada in fiscal 2016 last half in fiscal 2017 consistent profitable growth to continue in the Canadian operations goals for conversion of store and distributions centers in Brazil to certain standardized systems in fiscal 2016 last half and fiscal 2017. Continuing growth in the operations from China continuing to invest in China continued economic challenges for the UK and Brazil operations and strong performance for Mexico and Canada operations. With respect to the Sam’s Club segment trends in member utilization of the free/4/10 prescription program continuing to drive traffic for Sam’s Club and ongoing acceptance of Sam’s Club prepaid club pickup service by members. Assumptions on which any guidance as to or forecast and expectations for Wal-Mart and its segments are based are considered forward-looking statements. Wal-Mart’s actual results may differ materially from the guidance provided in and the goals unexpected and forecast results discussed in such forward-looking statements as a result of changes in facts assumptions not being realized or other risks uncertainties and factors including economic factors economic geopolitical capital markets and business conditions trends and events around the world and in the markets in which Wal-Mart operates currency exchange rate fluctuations. Changes in market interest rates unemployment levels competitive pressures inflation or deflation generally and in particular product categories consumer confidence disposable income credit availability spending levels shopping patterns debt levels and demand for certain merchandise consumer enrollment in health and drug insurance programs in such programs reimbursement rates. Commodity prices operating factors the amount of Wal-Mart’s net sales denominated in U.S. dollar and various foreign currencies. The financial performance of Wal-Mart needs with segments Wal-Mart’s effective tax rate and the factors that can affect that rate discussed earlier in this call customer traffic and average ticket in Wal-Mart stores in clubs and on its eCommerce websites the outcome of supplier contract negotiations the effectiveness of the implementation and operation of Wal-Mart’s plans programs and initiatives. The mix of merchandise Wal-Mart sells and cost of goods Wal-Mart sells transportation energy and utility costs the selling price of gasoline and diesel fuel the amount of shrinkage Wal-Mart experiences supply chain disruptions disruption of seasonal buying patterns in Wal-Mart’s markets, consumer acceptance are and response to Wal-Mart stores and clubs eCommerce websites, mobile apps, initiatives, programs, and merchandize offerings. The availability of the track of eCommerce acquisition opportunities, Wal-Mart’s expenditures for SEPA and compliance related matters, cyber security events effecting Wal-Mart and related to costs developments and outcomes up and cost incurred and legal proceedings to which Wal-Mart is a party, casualty and accident related costs and insurance costs. The turnover and Wal-Marts work force. Delays in opening new expanded or relocated units for various reasons. The availability of necessary personnel to stop Wal-Mart stores and units, labor cost including healthcare, and other benefit cost unexpected changes in Wal-Mart’s objectives and plans, unanticipated changes in accounting estimates or judgments, regulatory and other factors, changes in existing tax, labor and other laws and changes in tax rates government policies, programs, initiatives, and actions in the markets in which Wal-Mart operates and elsewhere. The level of public assistance payments, trade restrictions and tariff rates, and natural disasters, public health emergencies, civil disturbances, and terrorist attacks, such risk, uncertainties and factors also include the risks relating to Wal-Mart’s operations and financial performance discussed in Wal-Mart’s most recent annual report on Form 10-K filed with the SEC. You should consider the forward-looking statements in this call in conjunction with that annual report on Form 10-K and Wal-Mart’s quarterly reports on Form 10-Q and current reports on Form 8-K filed with the SEC. Wal-Mart urges you to consider all of these risks, uncertainties and factors identified above or discussed in such reports carefully in evaluating the forward-looking statements in this call. Wal-Mart cannot assure you that the results reflected or implied by any forward-looking statement will be realized or, even if substantially realized, that those results will have the forecasted or expected consequences and effects for or on Wal-Mart’s operations or financial performance. The forward-looking statements made in this call are as of the date of this call. Wal-Mart undertakes no obligation to update these forward-looking statements to reflect subsequent events or circumstances.
Q - :